Operator: Good morning, ladies and gentlemen, and welcome to Gran Tierra Energy's Results Conference Call for the First Quarter 2025. My name is Shannon, and I will be your coordinator for today. [Operator Instructions] I would like to remind everyone that this conference call is being webcast and recorded today, May 2, 2025 at 11:00 a.m. Eastern Time. Today's discussion may include certain forward-looking information as well as certain non-GAAP financial measures. Please refer to the earnings and operational update press release we issued yesterday for important disclaimers with regard to this information and reconciliations of any non-GAAP measures discussed on today's call. Any production volumes are based on working interest sales before royalties. Finally, this earnings call is the property of Gran Tierra Energy, Inc. Any copy and/or rebroadcasting of this call is expressly forbidden without the written consent of Gran Tierra Energy. I will now turn the conference call over to Gary Guidry, President and Chief Executive Officer of Gran Tierra. Mr. Guidry, please go ahead.
Gary Guidry: Thank you, operator. Good morning, and thanks for joining us for Gran Tierra's first quarter 2025 results conference call. My name is Gary Guidry, President and Chief Executive Officer. And with me today are Ryan Ellson, our Executive Vice President and Chief Financial Officer; and Sebastien Morin, our Chief Operating Officer. On Thursday, May 1, 2025, we issued a press release that included detailed information about our first quarter 2025 results, which is available on our website. Ryan and Sebastian will now make a few brief comments, and then we will open the line for questions. Immediately following the earnings call, at 10:00 a.m. Mountain Time, 12:00 noon Eastern Time, we will be holding our Annual General Meeting of Shareholders. During the meeting, I will give a brief overview of Gran Tierra, where the company is heading. We invite you to join us after this call. Dial-in instructions can be found on our website. I will now turn the call over to Ryan, who will discuss key financial highlights from our first quarter results.
Ryan Ellson: Good morning, everyone. Our first quarter performance reflects strong operational execution and disciplined financial management. Our front-loaded 2025 capital program, which had up to 5 rigs active during the quarter, delivered record drilling times and significant cost efficiency across all our key assets that Sebastien will discuss. Gran Tierra achieved first quarter 2025 average working interest production of approximately 46,619 BOE per day, which was 14% higher than fourth quarter 2024 and 45% higher year-over-year due to the recognition of 3 full months of production from Canada and positive exploration well results in Ecuador. During the first quarter of 2025, Gran Tierra incurred a net loss of $19 million, compared to a net loss of $34 million in the prior quarter. The company generated adjusted EBITDA of $85 million, versus $76 million in the prior quarter and $95 million in the first quarter of 2024. 12-month trailing net debt to adjusted EBITDA was 1.9x. However, this only accounts for 5 months of Canadian adjusted EBITDA, and we continue to have long-term target of 1x. Funds flow from operations was $55 million or $1.55 per share, up 25% from Q4 2024 and down 26% from the first quarter of 2024 because of lower oil prices. Gran Tierra's capital expenditures of $95 million were higher than the $79 million in the prior quarter and $55 million in the first quarter of 2024 as a result of the addition of the Canadian development program, an active exploration -- Ecuador exploration program, and development activities in the Cohembi field during the quarter. During the quarter, the company had 3 rigs active in Canada, 1 in Ecuador and 1 in Colombia. Currently, the company has 1 rig active. At quarter-end, Gran Tierra had a cash balance of $77 million, total debt of $760 million and net debt of $683 million. During the quarter, we repaid at maturity the remaining principal of our 6.25% senior notes due in 2025 in amount of $25 million, and repurchased $2 million of our 9.5% senior notes due in 2029, reducing gross debt by $27 million. In addition to the $77 million cash on hand as at March 31, 2025, Gran Tierra currently has approximately $110 million in undrawn credit facilities. This includes a revolving credit facility in Canada with a borrowing base of $100 million with available commitment of $50 million. On April 16, 2025, the company announced an additional $75 million reserve-based lending facility in Colombia with a final maturity in 36 months from the closing date. In terms of share buybacks, Gran Tierra repurchased approximately 450,000 shares during the quarter. From January 1, 2023 to April 29, 2025, the company repurchased approximately 5.2 million shares or 15% of shares issued outstanding at January 1, 2025, from free cash flow. Gran Tierra generated oil sales of $171 million, which is up 8% from the first quarter of 2024 and up 16% from the prior quarter, primarily due to higher sales volumes. On a per BOE basis, operating expenses decreased by 3% when compared to the first quarter of 2024 and the prior quarter. We continue to make significant gains to reduce operating costs through efficiencies and scale. Financially and operationally, Gran Tierra delivered a strong start to 2025, demonstrating record production, enhanced capital efficiency, meaningful debt reduction, increased financial flexibility through new credit facilities and continued focus on shareholder returns through share repurchases. I'll now turn the call over to Sebastien to discuss our operational highlights from our first quarter results.
Sebastien Morin: Thanks, Ryan. Good morning, everyone. Operationally, Gran Tierra is off to a strong start for 2025. As Ryan mentioned, Gran Tierra front-loaded its capital program during the first quarter, operating up to 5 rigs across the portfolio, while delivering record times and cost efficiencies across our key assets. In Ecuador, we successfully drilled 2 additional oil discoveries in Ecuador, the Iguana B1 and the Iguana B2 wells on the Iguana Block. The combined wells have an average oil production rate over 30 days of approximately 1,684 barrels of oil per day from the U-Sand formation. These 2 additional wells mark our 10th discoveries in country since we entered Ecuador in 2019. The Iguana B1 well was drilled and completed in record time and under budget, establishing a new pacesetter well in Gran Tierra's Ecuador exploration campaign. The drilling rig has been stacked on the Iguana pad pending mobilization to the new Conejo Pad on the Charapa Block to resume exploration drilling during the third quarter of 2025. The drilling of the final 2 Conejo wells will mark the fulfillment of all of Gran Tierra's exploration commitments in Ecuador. In Colombia, we successfully drilled the first 3 of 5 wells from the Cohembi North Pad during the quarter. And all the wells were delivered under budget and 60% faster than most recent well program executed by the previous operator. We are currently in the process of drilling the remaining 2 wells of the program. Once we complete the Cohembi wells, the rig will move to the Costayaco Pad to commence a 3-well development program during the second quarter. By the end of the first quarter, the civil, electrical and mechanical field works at Cohembi reached 100% mechanical completion. This project was initiated to facilitate the processing of new production from the Cohembi North Pad at the Cohembi Central Processing Facility. At Acordionero, the optimization of the field continues through ongoing waterflood expansion which includes facility enhancements, electrical submersible pump upsizing, injector conversions and upgrades to the gas to power generation system. These initiatives are focused on reducing unit costs, offsetting natural declines and improving overall recovery factors. In terms of production, the field continues to strongly perform with average production of 13,824 barrels of oil per day in the first quarter of 2025. This represents a 2% increase from the fourth quarter of 2024 despite no wells being drilled since the first quarter of 2024. Current production is approximately 14,500 barrels of oil per day, up 5% from Q1, reflecting the strong reservoir response to the execution of our first quarter water flood management optimization program. With these encouraging results, the company continues to see significant development potential at Acordionero and is planning another drilling program of 8 to 10 wells in 2026 targeting high oil saturation unswept infill locations. Finally, moving to Canada with our JV partner, Logan Energy, we successfully drilled and completed 2 Lower Montney wells at Simonette. These 2 wells were brought on stream and completed with a similar optimized Lower Montney completion design as an offset well drilled in 2022. After 21 days since being placed on production, the average gross production per well was 674 barrels of oil per day, 13 barrels per day of NGLs and 767,000 cubic feet of gas per day. Totaling 814 barrels of oil equivalent per day at 84% liquids. Gran Tierra holds 50% working interest in the wells as they continue to clean up. This early production performance surpasses the prior offset well by 80% for the same period and are exceeding their budget type curves. The company also successfully acquired 21 sections of prospective land in Central Alberta, along the Nisku fairway in early March, which adds over 50 high-quality opportunities to our drilling inventory. At Clearwater, we participated in the successful drilling of 2 gross 0.5 net wells during the quarter. And both wells are estimated to be on stream imminently. The first well drilled was a 4-leg injector to support a waterflood pilot in the Marten Hills Block, potentially increasing reserves based off area offsetting waterflood results. The second well, non-op, with 14 legs was drilled in Seal block to test the productivity of heavy oil in the Bluesky formation. Gran Tierra is well positioned to generate sustainable value while remaining resilient amid commodity price volatility. I'll now turn back turn the call back to the operator, and we will be happy to answer any questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from the line of Rob Mann with RBC Capital Markets.
Rob Mann: The first 1 from me, just around Acordionero and your water flood optimization program. You have a number of initiatives underway. It seems like the production response has been strong so far. So just curious if you could frame the remaining work to be done there and expectations after these initial results.
Sebastien Morin: Rob, I think it's more of continuing the same, the daily surveillance going back and looking and really optimizing each well in each sector. We've got the field broken into 5 sectors. And so as we see opportunities, we've got quick cycle times while taking the workover rig and slickline units over to manage that.
Rob Mann: Great. That's helpful. And then just the last one here quickly. Just wondering if you could discuss your acquisition of the 21 [secondtions of land] in Central Alberta, what you like there following your interest in the Canada with the i3 acquisition.
Gary Guidry: Yes. It's an Nisku play. We drilled a 3-mile horizontal fourth quarter and first quarter of this year. Fracked it. It's currently on production cleaning up. We're quite excited about the play. And we believe that with some appraisal, that it has a great potential. We'll be talking to other operators in the area to look at joint-venturing because it is quite a large play. But early days and quite exciting.
Operator: Our next question comes from the line of Alejandra Andrade with JPM.
Alejandra Andrade: I have a couple of questions. First, just wondering on working capital because I see a big inflow this quarter. Just wondering if we should see any reversal in the coming quarters, or if that should stay stable throughout the rest of the year? Then also second question, I just wanted to see in terms of gas prices in Canada, how are those behaving, and if anything has changed from your previous outlook?
Ryan Ellson: Yes. Great. With respect to working capital, there was a build in working capital, and that was just a function of a heavy capital program. So you will see some of that unwind in the second quarter. Obviously, we're doing everything on an accrual basis and so we just haven't paid all the vendors up to that point. So you will see some of that unwind in the second quarter. And in respect to gas prices, we're pretty comfortable with our base case budget for gas prices [indiscernible] in there quite well, and we do have the strong hedge program. So we're quite comfortable with the guidance on Canadian gas prices.
Operator: Our next question comes from the line of Josef Schachter with SERSI.
Josef Schachter: First, congratulations on the great first quarter compared to fourth and further improvement with the 48,400. So that's terrific. I have 2 areas I wanted to talk about. First was on Slide 27 of your presentation, you talk about the opportunities in Ecuador current production from 1,500 to 2,000, the other one 2,000 to 2,500. And you talked about upside 20 to 30 and 10 to 15. Are we talking 2 years, 5 years? How many wells? This probably is one for Sebastien, how many years are we looking out for this upside potential?
Gary Guidry: I'll start with the timing, Josef, and then let Sebastian add to that. Timing, because we have 100% and we operate, we control the pace. We are submitting field development plans with the government. And the intention would be, over the next 2 to 3 years, to get to that plateau production. Depending on volatility, depending on oil prices, these are great reservoirs, and for us, it's really a regional development. As you've seen, certainly across the Charapa and Chanangue Block, we have numerous discoveries. And when we finish our expiration at the end of this year with the Conejo, we'll have a good sense of what that regional development looks like so that we can put in power, put in infrastructure and ramp production.
Sebastien Morin: Yes. And just to follow-up on that in terms of flexibility on timing, our exploration environmental impact assessment license gives us full flexibility. And we're kicking off the development TIAs as well. So those 2 kind of overlap and allow us flexibility to really move ahead with the development as needed.
Josef Schachter: Okay. Super. Next question, with you at 48,400, your guidance is 47 to 53 in your base case, well, all 3 cases. Can you give us some guidance or a little more illumination on, given you knew you were at 48,400, what could happen to get you to the lower end, of 47? And what are you looking at for the upside? What scenarios need to develop to give you those ranges?
Gary Guidry: Yes. Prices is the main thing that we watch because we have operating control, watching what prices are doing here. And the earlier question to Ryan about natural gas, we're very bullish on the long-term outlook for natural gas, with realistic expectations of pricing, the $3 to $5 type range. And we have a tremendous inventory. And so we will be watching that closely this year and next -- over the next 3 years on how we manage that. And so we're very comfortable with our guidances out there. And we'll adjust accordingly with what global prices do.
Josef Schachter: Super. Well, thanks very much and congratulations on the growth profile that you're exhibiting.
Operator: Our next question comes from the line of Isabella Pacheco with Bank of America.
Isabella Pacheco: Could you please give us an update on your current oil price hedging strategy?
Ryan Ellson: Yes. We continue to have the same strategy. We're looking -- our objective is to hedge 30% to 50% out 6 months out and then 20% to 30% out the remaining 6 months. We have a pretty good hedge position in place right now, and we are looking to increase our hedge position to meet those targets.
Operator: Our next question comes from the line of Diego Espinoza with BTG Pactual. Our next question comes from the line of [Rodrigo Sanhueza] with Santander Asset Management.
Unidentified Analyst: I have a couple. First on CapEx, and I believe you addressed this question when you were talking about the working capital reversal. But there's a $27 million gap between the reported CapEx in the MD&A and the one in the cash from investing activities. Is this different book in accounts payable?
Ryan Ellson: Yes. In one of the notes in the financial statements, we have the breakdown on that. It really is, if you take our capital expenditures less the positive change in working capital, noncash working capital that will get you to the 69 compared to the 900.
Unidentified Analyst: Okay. Perfect. And the second question is on capital allocation. So you continue share buybacks and also repurchased some bonds this quarter. While I understand you view the shares as undervalued, could part of the recent stock performance reflect maybe market concerns around solvency? And in that context, how do you weight preserving cash versus additional share repurchases?
Ryan Ellson: Yes, it's a good question. I think if you look at the quarter, we reduced our gross debt by $27 million. So the vast majority of cash flow did go to debt reduction. And so we're laser-focused on continuing to reduce debt, and with a modest share buyback program. So like we're very dynamic, and so we're always consistently looking at our capital allocation. And then we're in the process of doing that right now with the recent volatility.
Unidentified Analyst: Okay. Maybe is any portion of the buyback program intended to offset dilution from equity-based compensation, and maybe specifically performance-based awards?
Ryan Ellson: No. No. It's really just we -- if you look at where we trade on a 1P basis, we would have a 1P NAV of around USD20, and on 2P, 40 million. So it's just part of our capital allocation. We think that's a great investment for the company for all our stakeholders.
Operator: Thank you. Gentlemen, there are no further questions at this time. Please continue.
Gary Guidry: I would like to once again thank everyone for joining us today. We look forward to speaking with you over the next quarter and update you on our ongoing progress. Please join us for our Annual General Meeting of Stockholders, which will commence at 10:00 a.m. Mountain Time, 12:00 noon Eastern Time. I will give a brief overview of Gran Tierra and where the company is heading. Dial-in instructions can be found on our website. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.